Operator: Ladies and gentlemen, thank you for standing by and welcome to the OneWater Marine Inc. Fiscal First Quarter 2021 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your host today, Jack Ezzell, Chief Financial Officer. Please go ahead.
Jack Ezzell: Good morning and welcome to the OneWater Marine fiscal first quarter 2021 earnings conference call. I am joined on the call today by Austin Singleton, Chief Executive Officer and Anthony Aisquith, President and Chief Operating Officer. Before we begin, I would like to remind you that certain statements made by management in this morning’s conference call regarding OneWater Marine and its operations maybe considered forward-looking statements under securities law and involve a number of risks and uncertainties. As a result, the company cautions you that there are number of factors, many of which are beyond the company’s control, which would cause actual results to differ materially from those described in the forward-looking statements. Factors that might affect future results are discussed in the company’s earnings release, which can be found on the Investor Relations section of the company’s website and in its filings with the SEC. The company disclaims any obligation or undertaking to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made, except as required by law. And with that, I would like to turn the call over to Austin Singleton who will begin with a few opening remarks. Austin?
Austin Singleton: Thanks, Jack and thank you everyone for joining today’s call. We delivered tremendous results in the first quarter of 2021, including a 39% increase in revenue compared to the prior year, expanding gross margins and significantly increased earnings. Same-store sales increased 38% in the quarter, on top of a 17% increase in the prior year and a 25% increase last quarter. Leveraging our efficient sales process, innovative digital platform and key relationships with our manufacturers, we’ve realized growth across all market segments. Year-over-year new boat sales increased 48%, while pre-owned boat sales grew 18%. Our high margin finance and insurance income also saw strong growth of 38%, and service, parts and other revenue rose 32% compared to the prior year. Overall, gross margins surged 360 basis points, with margin increases across all categories. The tremendous growth during the quarter can be attributed to our ongoing investment in our highly effective digital platform, CRM and innovative sales process. Additionally, the combination of our inventory management systems and dynamic pricing strategy continue to lay the foundation for future outperformance. On the M&A front, we had a very busy start to the fiscal year, completing three of the largest acquisitions in OneWater’s history and putting more than $80 million to work for our shareholders. As we have successfully done many times in the past, we are laser focused on implementing our tried and tested integration playbook. This translates into increasing sales and EBITDA. Let me briefly recap these new dealerships. First, Tom George Yacht Group enhances our presence on the West Coast of Florida and expands new and pre-owned boat sales, as well as yacht brokerage and service and parts. Walker Marine Group marks the largest dealership acquisition in our company’s history, adding 5 retail locations in Southwest Florida to serve its established and growing customer base with new and pre-owned boat sales, quality service and parts, as well as finance and insurance services. And lastly but certainly not least, Roscioli Yachting Center expanded the company’s presence in the yachting category, supporting our diversification strategy, including higher margin service and repair offerings. We have completed three acquisitions in line with our expectations of doing two to four deals per year. Since the pandemic hit in the U.S. last March, we have kept our M&A pipeline full and remain opportunistic. We were fortunate to be able to frontload these acquisitions, which we expect to have a significant impact on our fiscal 2021 results and long into the future. As we continue to execute on our long-term growth strategy, we are confident that through the integration of our recent M&A activity, continued investment in our innovative digital technology and the evolution of our higher margin business segments, we will further drive market share growth and sustain a meaningful value for our shareholders. With that, I will turn it over to Anthony to discuss business operations.
Anthony Aisquith: Thanks, Austin. The agility of our sales and marketing teams drove higher than normal sales for the first quarter. Our team hosted several smaller VIP events at our stores where customers were able to have a more intimate interaction with the product and sales team in the absence of organized boat shows. At these events, we showcased the incredible new and exciting models introduced by several of our key manufacturer partners. The new models launched in multiple categories, including saltwater fishing, ski and wake boats, runabouts and pontoon boats. All of these new models have innovative design and capabilities, and they were all well received by our customers. We also used the absence of boat shows to our advantage by focusing on selling boats locally instead of preparing for and attending multiple shows across the country. This resulted in significantly higher sales in what is seasonally the lowest quarter of our fiscal year. We continue to lean on our strong relationships with manufacturing partners and our nationwide inventory to ensure we have the boats that our customers want. We do expect inventory to build slowly through 2021 with the expectation that it should start to normalize in early 2022. Our inventory management system and operational dashboards continue to give us great visibility into the business and inventory, including boats on order or in production. With inventory tight across the industry, OneWater has a significant competitive advantage as our digital tools provide our sales team with the intelligence on exactly what inventory is available, or coming available, and where the inventory is located. This allows us to engage with our customers and pre-sell boats that are inbound to any of our locations. Additionally, the lower inventory levels and higher turns result in a reduction of floor plan interest, inventory maintenance and general carrying costs. While sales in January remained elevated, we continue to lever our state of the art digital platform to provide intelligence on how the changing dynamics are impacting the seasonality of boat sales. We will use this intelligence to help drive strategy moving forward while continuously improving and outperforming for the benefit of all our shareholders. I will now turn the call over to Jack who will talk about the financials in more detail.
Jack Ezzell: Thanks, Anthony. We delivered exceptional results in the first quarter with total revenue increasing 39% to $214.1 million in 2021 from $153.7 million in 2020. This generated an increase in same-store sales of 38%, which was primarily driven by an increase in new unit sales as well as a modest increase in the average unit price of new and pre-owned boats sold. We continue to see increased demand even during the off season from previous boaters returning to the water. New boat sales grew 48% to $151.8 million in the fiscal first quarter of 2021, and pre-owned boat sales increased 17% to $38.6 million. We remain focused on growing all aspects of the business to further outperform the industry and seize additional market share as we move further into the year. Finance and insurance revenue increased 38% to $6 million in the first quarter of 2021, and revenue from service, parts and other sales increased 32% to $17.7 million compared to the prior year. Gross profit increased 63% to $52.4 million in the first quarter compared to $32.2 million in the prior year, driven by the increase in margin on new and pre-owned sales, a shift in the model mix in the size of boats sold and the higher average unit price. Additionally, higher finance and insurance, service, parts and other sales contributed meaningfully to the increased gross profit. Gross profit as a percentage of sales increased 360 basis points to 24.5% compared to 20.9% in the prior year. With the increase in sales in the first quarter of 2021, selling, general and administrative expenses increased to $34.9 million from $28.3 million. However, SG&A as a percentage of sales declined 210 basis points to 16.3% from 18.4% in the prior year. The decline in SG&A as a percentage of sales was driven by our ability to leverage our existing expense structure to support the increase in revenue and reduction in selling expenses, including boat shows, partially offset by event-based marketing and increased public company expenses. Operating income surged to $16.1 million from $2.7 million in the prior year driven by the higher sales, expanding gross profit and SG&A, as previously mentioned. And as a result, adjusted EBITDA rose to $16.7 million compared to $1.2 million in the prior year. Net income totaled $11.8 million, or $0.71 per diluted share, in the first fiscal quarter of 2021 compared to a net loss of $1.1 million in the prior year. The increase is primarily due to the operating performance of the company. Turning to the acquisitions we completed during the quarter, the combined $83.9 million purchase price included the real estate associated with Roscioli Yachting Center and was funded by $47.6 million of cash, $30.0 million from the company’s revolving line of credit, $2.1 million in a seller note payable and $4.2 million in estimated contingent consideration. Subsequent to the quarter end, the company expanded its term loan credit facility by $30 million and used the proceeds to pay off the revolving line of credit that was utilized to fund these recent acquisitions. This expansion provides the company with $30 million of future liquidity, in addition to $26.0 million of cash on the balance sheet as of December 31, 2020, and additional availability under the company’s floor plan facility. Total inventory at December 31, 2020 was $196 million compared to $313.8 million in December 31, 2019. This substantial decrease was primarily due to the sales increase we achieved last year, combined with the manufacturing delays as a result of the COVID-19 pandemic. As a result of improving manufacturing environment and seasonality, inventory was up $46 million or 30% sequentially from the quarter ended September 30, 2020. We continue to prioritize normalizing the supply chain by utilizing our key relationships with manufacturers and leveraging our competitive advantage stemming from our industry leading inventory management technology. As Austin mentioned, our M&A pipeline remains robust, even after completing three acquisitions in December. We are excited to be back on our regular pre-IPO cadence of transactions and are focused on integrating these phenomenal businesses into the OneWater family. Looking ahead, for the full fiscal year 2021, we continue to expect same-store sales to be up approximately mid single-digits. The three acquisitions that closed in the first quarter of 2021 will contribute significantly to the full year results and we now anticipate adjusted EBITDA to be in the range of $95 million to $100 million and diluted earnings per share to be in the range of $4.00 to $4.20, excluding any additional acquisitions that might be completed during the year. This concludes our prepared remarks. Operator, will you please open the line for questions?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Craig Kennison with Baird. Your line is now open.
Craig Kennison: Hey, good morning. Thanks for taking my questions. Jack, you just mentioned your guidance in the first quarter, same-store sales was up 38%. You are going to face some really challenging comps in the second half. I am just wondering if you see any quarters where you might have like a negative same-store sales rate in order still to get to that mid single-digit rate of growth for the full year. I mean, you are starting off on such a high note. I am wondering how you feel the rest of the year will unfold?
Jack Ezzell: Yes. We are – it’s – we have spoken many a times about the June quarter and the 44% comp that we have to go on top of. I wouldn’t say I am forecasting to be negative in the June quarter, but that’s probably more a flat quarter compared to being up significantly this quarter. And just also, you got to remember, this quarter is the smallest quarter of the year. I suspect next quarter, if business continues, we should have nice comps. We’re up against a negative 2% comp last year, and so the comp in the March quarter is certainly easier for us to comp. But I think when you roll out the numbers and you – if you have good comps in the first half and then some lower comps in the back half, I think you get to that mid single-digits without any quarter going negative.
Craig Kennison: That’s helpful. Thank you. And then just as it relates to the acquisitions, can you confirm that all of the acquisitions were paid for in fiscal Q1? Or was there any cash outlay in Q2?
Jack Ezzell: Yes. No, it was all in Q1. It was December. The Tom George closed on the 1 of December, and then Roscioli and Walker Marine both closed on December 31, and so all the cash was out as of December 31.
Craig Kennison: Got it. And then Austin, you are integrating three deals now. Could you just remind us all of what your integration process is? What do you like to achieve in the first, let’s say, 100 days of an integration and then how stretched is your team today, given you’ve got three integrations ongoing such that you probably need to wait until those are integrated before you move on to the next consolidation target?
Austin Singleton: Well, I mean, Tom George Yachts was done on December 1. So when we – it was fully integrated on December 1 as far as the system and all that stuff. Continuing on with Tom George, now it’s just starting to get the processes of the CRM process, F&I, start ramping up the synergies and the things that we can bring to the table. So, that one is in really good shape. So we don’t really have three ongoing right now. We really only have Walker because Roscioli is more of a boat yard service storage area. So it’s on a different system right now. We will be bringing that over to our current platform, but it’s done a little bit different. There is some tweaking we have to do to that just because it’s a different animal. So we are not having any – our team is stretched. They are always stretched because there is always improvements we can do not only with acquisitions, but our internal business that these people also work in when they’re not integrating. So we are in a pretty good spot. Jack probably can expand on that a little bit more if you want some more, Craig, but we’re in a good spot.
Jack Ezzell: Yes. One thing I’d point out also is we are in a seasonally slower time. So some of our admin staff who dip in service and parts staff who often are heavily involved with integrating acquisitions, they do have the time right now to assist with these transitions. I just would also point out that both Tom George and Walker’s, they were on our ERP system of Lightspeed. And so the transition for them is a bit easier because it’s – we’re not training them on how to use the system. We’re just converting over their system. Roscioli’s a little bit different, like Austin mentioned. But fortunately with them, they are more higher dollar, lower volume type transactions. People aren’t necessarily coming in for a $200 oil change at that facility. They are coming in for a $200,000 paint job and so building back up that service process just doesn’t have the volume maybe of a traditional dealership. But the team is actively working on it and we will have them all integrated on our system here in very short order.
Craig Kennison: Great. I will get bank in the queue. Thanks.
Operator: Thank you. Our next quest comes from the line of Joe Altobello with Raymond James. Your line is now open.
Joe Altobello: Great. Hey, guys. Good morning. Just wanted to circle back on the EBITDA guidance for a second so your prior guidance was up low to mid single-digits off of last year’s $83 million, since then, you’ve done, as you mentioned, three acquisitions. So could you break out for us the outlook for the base business? Is it still low to mid-singles growth this year and what’s the incremental impact from those acquisitions?
Jack Ezzell: Yes. I think as of this point, it’s probably leaning more towards the higher side of that low to mid. The December quarter is such a small quarter in the full year. And we’ve done – I think the team has done a great job of organizing events to supplement the absence of boat shows. And so I think there’s just a little more question as to the seasonality; is the seasonality of the year going to be altered because of the lack of boat shows and the events that we’re having? And so I think we’re keeping the base business because we do have such a big year to comp. Just trying to be conservative and keep the base business just with a reasonable amount of growth and not necessarily just rolling Q1 performance on top of prior projections.
Joe Altobello: Got it. Okay. That’s helpful. And just you mentioned your lack of boat shows this year, and it was obviously very helpful in terms of the cadence for comps. But I’m curious how you think about the impact of boat shows, or lack thereof, in terms of March versus June quarter. Could there be sales that typically occur in the March quarter at boat shows that slip into June? And maybe secondly, you guys spend a fair amount of money on those boat shows. Where does that money go? Does it go towards digital marketing? Does it drop to the bottom line, a mix of the two? Thanks.
Austin Singleton: I want to jump in a little bit right there. Joe thanks for the question. The boat shows, I’ve said it many a times, I’m not a big fan of them. They really – it’s the second biggest expense on our P&L. And when you go to a boat show, you kind of level the playing field for subpar dealers. That’s their only shot at the year. But we’re still learning a little bit about how the effect of the boat shows is going to impact our total year. We had a great quarter. One thing I’d point out is we spend a good part in a normal year, we spend a good part of the last part of October, pretty much all of November and the first 2 weeks of December preparing for boat shows. I mean, that’s not just Anthony preparing. That is the whole entire team. It’s training in it’s – just a lot goes into it. And then you come out of that and then the first part of January, you hit the ground running and it’s boat show after boat show, hotel, late nights. It’s just very taxing on our team. And I think this year, Anthony came up with this plan to do these events and market digitally. And so we’ve spent this first quarter selling. And instead of preparing for boat shows, we were selling deals. I think it’s – we need to understand the impact of that as we move forward into the year. I will tell you that January is off to a good start. We’re feeling really good about the year. But we’re, where like Jack just said we are in the lower part of the year, and it’s going to continue to build, we hope. But we just don’t know what we have done by selling in this – in Q1 versus preparing has done, and we just need a little bit more time to understand that, but things are definitely going in the right direction.
Joe Altobello: Got it. And if I could just follow-up on that, Austin, you mentioned January was looking good. If you wanted to add any color, are comps kind of in line with what you saw in Q1 or any slowdown at all?
Austin Singleton: Well, I would just tell you that the leads are – we keep waiting for that day where leads starting to slow down. Jack, you can expand on it a little bit more probably than I can on – but it’s definitely – go ahead.
Jack Ezzell: No, I was just going to say if you rewind back in time, I think we, back around the pandemic timing when things first kind of shut down, if you recall, January and February last year were very strong months, and then it really was just the last 2 weeks of March that things kind of fell off and really shut down the quarter. So we’re up against some – the double-digit comps. And I would tell you we are – we haven’t gone through and done an analysis, so we’re still working on closing the books, but I would tell you that comps are certainly double-digits so far through January.
Joe Altobello: Perfect. Thank you, guys.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Mike Swartz with Truist Securities. Your line is now open.
Mike Swartz: Hey, guys. Good morning. A couple of questions here. I think in the press release, you said that the combined benefit from the 3 acquisitions you made is about $125 million in annualized revenue. I think that’s on a 12-trailing month basis. Maybe give us a sense of what that looks like in fiscal year 2021? Are you assuming that kind of grows in that mid single-digit range that you are calling out for the underlying or the core business?
Jack Ezzell: Yes. I would say that is on a full year basis and you would be looking at probably something around that $100 million mark for the contribution this year.
Mike Swartz: Okay. Right, because some of it I assume fall into fiscal year 2022 as well.
Jack Ezzell: Correct. Correct.
Mike Swartz: Okay, okay. That makes sense. And then just on the – noticing that used boats or pre-owned boats grew about 17% in the quarter while everything else grew 30%, 40% year-over-year, any commentary there on just the availability of pre-owned product and maybe what you’re doing to gain access to inventory there?
Austin Singleton: Yes. That’s really – Anthony, I was just about to say that’s really for you.
Anthony Aisquith: Yes, it’s something Mike that we focused on daily with – we employed employees that are buyers and buyers only. That’s all their job is to do is to buy boats. So it is a challenging part to continue to get inventory, but it’s – I think we’re still doing a great job at getting it. It’s not keeping up with the new growth just because of the amount of innovations that our manufacturers that we are tied to are coming up with. It’s just really driving some great growth for us, but used is something we concentrate on everyday.
Jack Ezzell: Yes. I think the other thing I’d point out, too, just a little bit behind the numbers is we saw a significant increase in brokerage sales and as you said brokerage sales, but net revenue. So it’s – you don’t necessarily see the revenue dollars pick up quite as much as you would if it was an actual used unit.
Mike Swartz: Got it. That makes sense. Thanks for that. And then maybe a final question for Austin. Maybe just talk about how the standalone service centers are contributing and maybe how to think about that business over the next 12 months?
Austin Singleton: Right. There again, that’s an Anthony question. But I mean, you can see in the numbers, we saw a good increase in parts and service, and obviously some of that is connected to that. Anthony, do you got any like more day-to-day operational comments?
Anthony Aisquith: It just continues to be an opportunity for us in the parts and service world. As we spoke to last quarter, we’ve opened 3 service-only facilities. We’re looking to open more standalone service centers. There’s a tremendous demand for that at this point, which we are seeing.
Mike Swartz: Okay, great. Thanks a lot.
Operator: Thank you. There are no further questions at this time. Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.